Operator: Good day, everyone, and welcome to The Estée Lauder Companies Fiscal 2016 First Quarter Conference Call. Today's call is being recorded and webcast. For opening remarks and introduction, I would like to turn the call over to the Vice President of Investor Relations, Mr. Dennis D'Andrea. Please go ahead, sir.
Dennis D'Andrea - Vice President-Investor Relations: Good morning, everyone. On today's call are Fabrizio Freda, President and Chief Executive Officer; and Tracey Travis, Executive Vice President and Chief Financial Officer. Since many of our remarks today contain forward-looking statements, let me refer you to our press release and our reports filed with the SEC where you'll find factors that could cause actual results to differ materially from these forward-looking statements. To facilitate the discussion of our underlying business, our first quarter and full-year comparisons have been adjusted for the impact of the prior-year implementation of our Strategic Modernization Initiative. You can find reconciliations between GAAP and non-GAAP figures in our press release and on the Investor Relations section of our website. I'll turn the call over to Fabrizio now.
Fabrizio Freda - President, Chief Executive Officer & Director: Thank you, Dennis, and good morning, everyone. Our fiscal 2016 year is off to a good start. In the first quarter, we delivered excellent financial results, generating strong adjusted constant currency sales growth of 8% and earnings per share growth of 16%. Our winning strategy and business model are at the core of our success. Our strength came from our broad portfolio of prestige beauty brands which is diversified by category, geography, and channel with multiple growth engines across all these areas. We can accelerate the ones working well and reallocate resources as market dynamics change. These factors continue to make us more resilient and position us for long-term, sustainable results. We are pleased to operate in the global prestige beauty industry which is growing fast even during volatile times. Within the industry, makeup is today the fastest-growing category, and we are a global leader in prestige makeup. Once again, our luxury and makeup brands were the best performers, fueled by the intrinsic brand equity, strong launches, and solid base of business. Worth noting are Jo Malone London, Tom Ford and La Mer in the luxury tier. M•A•C and Smashbox were standouts in makeup, a category where consumers are increasingly spending more of their beauty dollars. We are especially pleased with our results in light of the softer retail climate in China and Hong Kong, the MERS impact in Korea, a sharp decline of Russian and Brazilian travelers, and significant and higher than anticipated currency headwinds. From a geographic standpoint, we delivered a stellar performance in Europe, the Middle East and Africa. Growth in the region was helped by an influx of travelers attracted by the weak euro. Our midsized brands, notably Tom Ford and Smashbox, had the fastest growth, benefiting from strong retail trends, well-received launches, and new doors. Our growth at retail was robust, and we gained share in prestige beauty in several established markets, including the UK, France, Germany, Italy. We also had double-digit growth at retail in nearly all EMEA emerging markets. The online and specialty multi-channels were vibrant in the regions. Sales in Boots and Douglas were particularly strong. Freestanding store are a key component of our expansion in the region and we added 9 new location for M•A•C and three for Bobbi Brown during the quarter. We continue to expand and improve our business in travel retail. Our sales at retail rose 7% with most of our brands and markets growing despite currency headwinds affecting travel from a number of key consumer group including Japanese, Russians and Brazilians. In line with our strategy to introduce more brands and expand our reach in the channel, we launched Darphin and GLAMGLOW and opened nearly 100 new counters for our other brands. The forecast for international passenger traffic growth is healthy 7% for the fiscal 2016 which we believe will help improve our business in the coming months. However, our net sales declined in travel retail due in part to a tough comparison with the previous year first quarter. We also experienced a weaker business and significantly lower trade stock in Korea as a result of MERS concerns. Total air travel visitor to Korea dropped about 40% from June to August and continued to be weak in September even though there were no new cases reported. We expect travel to Korea to improve as fears of MERS subside. In North America, all of our brands grew sales. Makeup continue to be the strongest contributor to growth, up high single digits. Specialty multi remains one of the fastest growing channels, rising double digits for the quarter. Four of our brands opened new doors in Bluemercury and we had strong sales growth in Sephora. We plan to further broaden our presence in specialty multi. Clinique continues to selectively expand in Ulta and Estée Lauder brand is on track to launch its new Estée Edit collection of makeup and skin care products in March in approximately 250 Sephora stores and online. In Asia Pacific, Australia and Japan were strong and Korea had another positive quarter. In Australia, a weaker currency drove greater local consumption. Distribution is expanding for prestige beauty and online is growing strongly. Our sales were solid across all channels, and we gained shares in department stores. Our sales in Japan rose high-single digit in the quarter, as the lower yen stimulated greater tourist activity especially from Chinese. Local demand for prestige beauty was solid. Our business in Korea continues to improve and strengthen. Our net sales grew mid-single digit and our sales growth at retail exceeded prestige beauty growth. As our brand successfully competed with local brands and leveraged the new Korean trends. Korea is a trendsetting beauty market that is known for both rapid innovation and high quality products. One element of our strategy is to build our presence in the local market to participate in the popularity of Korean brands. Last week, we announced we are making an investment in the in the novelty Korea Skin Care Company behind the brands Dr. Jart+ and Do The Right Thing. This a strategic opportunity for us to partner with high growth, distinctive brands that combine Korea innovation with a global sensibility. The investment give us, our company an opportunity to support Dr. Jart+ development and continue success around the world. We look forward to working with the company's entrepreneurial founder as he continues to grow the brands. For us, this investment creates another pillar in our long-term growth strategy for Asia. In China, most of our brands had higher sales, many rising double digits, fueled in part by the increasing demand for makeup. We are accelerating expansion of our makeup brands to leverage this market trend. M•A•C grew 25% at retail in the quarter, and this year, it's planning to open more doors in more cities. Tom Ford opened its first department store counter in China, with the expectation to add several more during the fiscal year. These gains came amid a backdrop and soft retail environment in China caused by many factors, including the stock market volatility there. The company retail results in China were overall flat, with lower traffic in brick-and-mortar stores offset by higher volume online, where our sales nearly doubled. Our net sales declined 3% due to lower sales of the Estée Lauder brand, which had a tough comparison with the previous year when its major new introduction occurred on July 1, and this year, New Dimension launched in mid-September. However, the brand remains the largest prestige beauty brand in China in its distribution. Although we are seeing Chinese consumer spending less at home, they are travelling more and purchasing abroad, particularly in Japan and large European cities. For example, La Mer and Jo Malone benefited from the huge rise in Chinese tourists in Paris, which helped drive sales growth of more than 50% for these brands in France. While China's economic expansion is moderating, it remains healthy, and we are bullish on our long-term prospects. We expect to grow high-single digit this year, in line with the industry. Hong Kong continues to be affected by sharp declines in Chinese travelers and weak local consumption. We are the largest prestige beauty company in Hong Kong, and Estée Lauder is the largest brand. But our sales at both net and retail declined in the quarter. Despite this climate, several of our brands grew, including M•A•C, Tom Ford, Jo Malone. We are pushing opportunity to strengthen our business with local consumers in Hong Kong. However, we do not anticipate a significant pick up in consumption in the near-term. Another major growth engine is our e-commerce business. Online sales rose 26%, with excellent growth from brand, retailers and third party sites, with particular strength in EMEA and APAC. Mobile sales were vibrant, and now account for more than one-third of our global online sales, and more than 50% of online sales in the UK. Overall, orders increased and conversion rose strongly. We continue to expand our online availability and opened 100 new digital brand locations globally, mainly in international markets, on both our sites and retailer sites. For example, in China, Tmall continues to be a strong contributor to our online sales, and Bobbi Brown launched on the platform in September, bringing the number of brands we sell on Tmall to five. We also progressed on our strategy initiatives. Estée Lauder and Clinique are both launching new products across categories, and making good progress on their turnaround plans. Estée Lauder grew in several regions and gained shares in EMEA. During the quarter, the brand introduced New Dimension, reinforcing its leadership in serums. It launched in the U.S. and the UK in July, and in the rest of its international markets starting mid-September. The line is performing to expectation, and is proving to be a terrific recruitment tool in Asia. In makeup, the brand's new Pure Color Envy Liquid Lip Potion has done really well globally. Clinique #FaceForward campaign has strengthened the brand's attraction to younger consumers and generated extensive editorial coverage. The campaign has helped improve sales of its 3-Step franchise in North America, the UK and Asia/Pacific. Clinique also launched a digital editorial lifestyle platform called The Wink, highlighting emerging trends, global influencers, wellness articles, travel, and beauty information, essentially the people and the ideas that inspire the world of Clinique. This platform is intended to help Clinique strengthen its relationship with current consumers and recruit new ones. Our recent and upcoming launch activity is strong across all categories and brands, and we have an excellent selection of gifts for the holiday season. Let me give you a few examples. In skin care, La Mer introduced the Renewal Oil, the first oil formula for the brand, and Genaissance serum essence, which builds on La Mer Miracle Broth technology at the uber (13:55) luxury price point. Clinique launched Sculptwear serum and Smart moisturizers, and Origins New Original Skin Rose Clay Mask strengthened its leadership in prestige masks. Several brands have developed new foundations. A high loyalty product, Smashbox BB Water, a makeup with a very high-light texture, is off to a great start. M•A•C is launching Studio Waterweight SPF 30, a gel-serum formula, and also Matchmaster cushion compact, the first of its kind for the brand. Building on the success of Beyond Perfecting Foundation and Concealer, Clinique recently expanded their franchise with a powder foundation. We have a full slate of exciting new fragrances in time for the holidays, including the Michael Kors Gold Collection, Tory Burch Absolu, Donna Karan Liquid Cashmere White and Black, and Jo Malone Mimosa & Cardamom. Estée Lauder leveraged the excitement of its Modern Muse Le Rouge launch by live-streaming the event on two popular social media platforms, Snapchat and Periscope. We are pleased with our strong start this quarter. We remain committed to deliver strong constant currency full-year sales growth ahead of the industry and double-digit EPS growth, even though, as I explained, we expect continuous lower growth in some key markets and channels around the world. Our performance this quarter demonstrate our many strengths, and is proof that, by staying focused on our long-term strategy, we can successfully navigate external challenges and market volatility to deliver sustainable and reliable results. Now, I will turn the call over to Tracey.
Tracey Thomas Travis - Chief Financial Officer & Executive Vice President: Thank you, Fabrizio, and good morning, everyone. First, I will review our fiscal 2016 first quarter results, and then I will cover our expectations for the second quarter and for the full year. And to clarify our underlying business performance, my commentary on comparisons to the prior year excludes the first quarter and full-year impact of the acceleration of retailer orders that shifted sales from the first quarter of fiscal 2015 into the fourth quarter of fiscal 2014 related to our rollout of SMI. The impact of that shift was $178 million in sale and $127 million in operating income, equal to approximately $0.21 per share. Also excluded for the full year is the impact of restructuring and other charges. Net sales were $2.83 billion for the first quarter, which was 8% growth in constant currency. Last year's acquisitions contributed 70 basis points of this sales growth. From a geographic standpoint, Europe, the Middle East and Africa had a standout quarter. Net sales in the region rose 11% in constant currency, with double-digit performance occurring in both Western developed markets as well as emerging markets. Strong local demand for our products, as well as increased tourism in Western Europe, fueled double-digit increases in major markets such as the UK, France, Germany, Italy and Spain. We also continue to achieve strong double-digit sales gains in many emerging markets, including the Middle East, Russia and Turkey. Our net sales in the travel retail channel declined 7% as we experienced inventory adjustments among retailers in Hong Kong, China and Korea, as well as anniversaried strong shipments prior to the retail slowdown that occurred in October of 2015. Sales at retail in the quarter were strong 7% as Fabrizio mentioned. Net sales in the Americas increased 9% in constant currency. Strong double-digit growth continued in Latin America led by Brazil and Mexico. North American sales grew mid-single digits which reflected double-digit growth in Canada and solid growth in the United States. Sales were strongest in the specialty multi, online and department store channels while tourist-driven doors have been meaningfully negatively impacted by the strong dollar. Net sales in the Asia Pacific region were flat in constant currency. Australia delivered another quarter of double-digit sales gain, a sharp increase in Chinese tourists combined with good local demand, drove stronger growth in Japan, and Korea generated mid-single-digit growth. This sales growth was offset by the less favorable trends in greater China, most notably in Hong Kong. Net sales by product category were led by the 16% constant currency growth in makeup for the quarter. The biggest contribution came from the continued strength of M•A•C. And makeup sales of Tom Ford and Smashbox rose double digits on brand expansion, new products and strong same-store growth. Estée Lauder again had growth in makeup including strong demand for its Double Wear franchise. Sales of fragrance products rose 12% in constant currency. Luxury fragrances continued to drive sales growth led by double-digit gains from Jo Malone and Tom Ford and incremental sales from Le Labo and Frédéric Malle. The launch of the Michael Kors Gold fragrance collection also contributed to sales. Hair care sales rose 6% in constant currency with growth from both Aveda and Bumble and bumble. Aveda launched pure, dry shampoo and benefited from other recent launches. The brand also delivered strong salon sales in Western Europe. Bumble and bumble continued to generate good growth in specialty-multi and online channel. Skin care sales declined 1% in constant currency reflecting the current global industry trend favoring makeup. La Mer, Origins and Darphin generated solid growth, and the category benefited from the incremental sales from GLAMGLOW. These increases were more than offset by Asia-driven declines at Estée Lauder, which are a large part of the brands business there. And U.S. department store weakness at Clinique. Our gross margin of 79.6% was flat with the prior-year quarter. Operating expenses as a percent of sales rose 90 basis points to 63.6%. The primary drivers reflect our strategic priorities. We incurred higher store operations cost from the increase in freestanding retail store openings over the past year. The strategic acquisitions we made in fiscal 2015 added 30 basis points to operating expenses as a percent of sale. Our investment and innovation and product development continues to rise at a faster rate than sales. And these increases were partially offset by reductions from our cost savings initiative. As a result, operating income declined 5% to $453.2 million, and operating margin decreased 90 basis points to 16%. Also affecting our operating margin were lower sales from our high-margin travel retail business. However, our adjusted constant currency operating income increased 8% in the quarter and resulted in flat constant currency operating margin. Net earnings were $309.3 million or 14% above the prior-year quarter in constant currency, primarily reflecting the higher sales and a 350 basis point improvement in our effective tax rate. Diluted EPS of $0.82 came in above the top-end of our expectations due to higher than expected sales, continued expense management and a lower tax rate. Earnings per share for the quarter included $0.11 of unfavorable currency translation and approximately $0.01 of dilution from acquisitions. Continued progress in our supply chain initiatives and favorable currency translation helped improve inventory days to sell by 13 days to 180 by the end of September. These improvements were partially offset by the inventory build necessary to meet our future sales growth objectives and the additional inventory from our new brands. During the quarter, we generated $8 million in cash flow from operating activities, which reflected normal, seasonal, higher-working capital requirement and inventory to support the holiday selling period. The comparison of our cash flows versus prior-year was also unfavorably impacted by the cash received from the accelerated orders in the prior year. We invested $90 million in capital expenditures, primarily to support new retail stores and counters. We utilized $387 million in cash to repurchase approximately $4.7 million shares of our stock, nearly double the amount purchased during last year's first quarter. We also paid $90 million in dividends to stockholders. Additionally, this morning, we announced another 25% increase in our dividend rate. Let me now turn to our outlook for the second quarter and for the full fiscal year. For the full year, the sales shift related to last year's SMI rollout will impact comparisons to the prior year. I'll discuss our expectations adjusting for the impact of the shift. Our forecasted growth rate both before and after the shift impact are available in today's earnings release for your reference. For the full year, we continue to expect sales to grow 6% to 8% in constant currency including 50 basis points from acquisitions. Currency has become an even greater headwind than previously anticipated. And we now estimate the translation could negatively impact our full-year sales growth by approximately 4% to 5%. Our estimate assumes current spot exchange rates of around $1.10 for the euro, $1.53 for the pound, and $1.21 for the yen for the remainder of the fiscal year. However, we are still expecting our diluted EPS to be in the range between $3.10 and $3.17 including $0.05 of dilution from acquisitions. The increased currency headwinds are projected to affect EPS by about $0.24, $0.06 more than we projected when we last gave guidance. Our strong first quarter performance gave us comfort to raise our expected EPS growth to 10% to 12% in constant currency. Regarding the second quarter, our sales are expected to rise 6% to 7% in constant currency. The translation impact of the stronger dollar could contract growth by approximately 5 percentage points to 6 percentage points. Activities behind our key product launches and our holiday programs should help drive sales growth. As we have said before, we manage our business on a full-year basis and for the longer term. And our spending by quarter can vary, depending on the needs of the business and how the quarter progresses. At this time, our second quarter diluted EPS is anticipated to come in between $1.04 and $1.08 per share, including approximately $0.10 per share of adverse currency translation. As you are aware, the company has been engaged in a multi-year upgrading and modernization of its systems and processes. In a continuation of these efforts, we are transforming our global technology infrastructure to improve the delivery of internal IT services throughout the organization. We are transitioning from a platform of company-owned assets to one that is primarily vendor-owned. We will be utilizing a new third-party provider with an enhanced scalable platform to improve our ability to respond to the demands of the business and leverage more advanced technology. We expect to record restructuring and other charges of approximately $40 million to $50 million, primarily to write off certain IT assets. Implementation of this initiative will take place throughout calendar year 2016. We expect the transformation to increase operational efficiency, reduce future IT service and infrastructure costs, and result in additional future savings, freeing up cash that we may reinvest in capabilities and growth opportunities. This initiative will also be return-generating. We are pleased with our start to the year as we deliver strong sales and earnings growth and progressed well on many of our growth and efficiency initiatives. And that concludes our prepared remarks. We'll be happy to take your questions at this time.
Operator: The floor is now open for questions. Our first question today comes from John Faucher with JPMorgan.
John A. Faucher - JPMorgan Securities LLC: Yes. Good morning. I wanted to talk a little about the gross margin. And as you look out over the next couple of years, as you look at your business mix moving to more of a sort of company-owned store environment, how should we think about the gross margin? Because if you look at this quarter, obviously great top line growth, but not quite as much leverage there as I think some of us had hoped for. So can you give us a little bit of an outlook in terms of maybe is mix having a bigger impact than what we've currently been modeling? Thanks.
Tracey Thomas Travis - Chief Financial Officer & Executive Vice President: Sure. We have different gross margins, depending on the different channels of business. So as it relates to our growth in retail, as we grow our retail business or our online business, for that matter, we would expect that gross margin – that's a benefit to our gross margin from an overall average company standpoint. There are other channels and brands that have lower gross margins. So as we've spoken in previous quarter calls, depending on the mix of our business in any given quarter, you would – you will see a range of gross profit margin performance and operating margin performance, which is why we continue to focus on the full year in terms of the guidance that we give and you should expect.
Operator: Your next question is from the line of Nik Modi with RBC Capital Markets.
Nik H. Modi - RBC Capital Markets LLC: Yeah. Thanks for the question. Just actually two quick questions. Fabrizio, I was wondering if you can give me or give us some thoughts on market share for Estée Lauder and Clinique, just kind of going around some of your largest region especially in China. And the second question just so I can understand this whole IT initiative, should we be expecting any disruption related to inventory like we saw with SMI or is this completely unrelated? Thanks.
Tracey Thomas Travis - Chief Financial Officer & Executive Vice President: So I'll answer the second question first. Regarding this shift in terms of our IT infrastructure, it is not like the application that we implemented with the SAP initiative. So, the SMI initiatives though, we will not expect to have an inventory build similar to what you've seen, thankfully, for SMI over the last few years.
Fabrizio Freda - President, Chief Executive Officer & Director: And in term of market share, as you can imagine, we are growing global market share, with net retail sales in the 8% range, and with the market growing at this point, from our estimate, around 4%, we are really growing strongly global market share. However, in some areas, in Lauder and Clinique particularly, the market share could be flat or declining. For example, you ask about Asia. In Asia, Lauder is the clear market leader in Hong Kong. And in China, with the softness of these two markets, obviously, the overall market share in Asia of the brand is under pressure. And Clinique, which is the overwhelming market leader in U.S. mid-tier department store, with the lower growth in this channel versus the other channels in the U.S., also Clinique market share overall in that area will be under pressure. But overall, globally, we are doing a very good progress in market share, again with the same strategy of a good portfolio by category, and then by channel and by country.
Operator: Your next question is from Caroline Levy with CLSA.
Caroline S. Levy - CLSA Americas LLC: Good morning. Thank you. At one point, the Chinese traveler and locals, I think you believed were about 10% of your business. And with the shifts you've seen, Europe, it sounds like, is attracting more Chinese tourists, but Hong Kong isn't. And I wonder if you could just tell us what you think happened to growth of sales to the Chinese consumer overall? Was it up or down, or what are your thoughts there?
Fabrizio Freda - President, Chief Executive Officer & Director: Yeah. Our estimate is, our sales to Chinese is up, and it continues to be very, very strong and very solid overall around the world, but as we explained, where this growth happens is changing. And then, depending of the market share of our brands in the specific area where the Chinese are going, then there could be a bigger or lower impact. So the fact that there is an issue in Hong Kong in this moment, obviously that's a negative for our sales to Chinese, because we are, as a company, the market leader in Hong Kong. But overall, as you said, we are getting great benefits in Europe and we see good progress in other markets where – like Japan, where the Chinese in this moment are going and buying a lot. Finally, you see an impact on the U.S., mainly in the U.S., because of the strong dollar. The amount of purchases to Chinese consumers has decreased in the last quarters. And obviously, we have a very high market share in the U.S. and we have been penalized by that trend. But all in all, again, we look at the long term, we believe Chinese consumers in mainland and around the world are, and will continue to be, a great source of growth, and a great source of business, and we remain completely focused on them, independently from the mix impacts in the short term. And we have been able to deliver a great growth in the quarter despite, in the quarter, a relatively negative mix impact of the Chinese spending.
Operator: Your next question is from the line of Chris Ferrara with Wells Fargo.
Christopher Ferrara - Wells Fargo Securities LLC: Hey, thanks. Guys, I guess I wanted to ask about EMEA, right. And I understand that you had an influx of, I guess, Chinese shoppers in there. I think you cited that as helping. But if you strip out the travel retail decline, it looks like EMEA, ex that travel retail decline, was up very substantially, right, maybe mid-teens, maybe high-teens? I guess – let me know if that's wrong. And if it's not, how sustainable is that in the near term? And do you get a bounce in Asia before you get what could be a slowdown in EMEA from those giant growth rates? Thanks.
Fabrizio Freda - President, Chief Executive Officer & Director: We believe this is a strong trend. We are doing very well in EMEA, and growing market share in many, many of these markets. And we believe we have plans to continue this trend. UK is really booming. In the UK market, the market is growing 7% in prestige, more than mass. We are doing great job in attracting consumer for mass, and in growing market share across all channels. The emerging markets in EMEA, which are a big part of this, we are growing outstandingly. Just to – our total emerging market growth this quarter was 13%, excluding China was 31%. So, in the EMEA market, we are growing basically one-third of our business on top of what we had, and this is supposed to continue, and we have very clear plan on that. So, EMEA in total, excluding TR, by the way, is 23% growth. And so, really standing, and there are several reason why these strengths – I'm not sure as the same identical strengths of the quarter, but this good solid trend is expected to continue.
Tracey Thomas Travis - Chief Financial Officer & Executive Vice President: And the only thing I'll add to that is, embedded within our guidance for the balance of the year; this was, to Fabrizio's point, a very, very strong quarter for EMEA, and we do expect that to continue, certainly benefiting from both the tourist as well as strong execution of our brand programs in the region. A bit moderating for the balance of the year, relative to what we experienced in the first quarter, largely benefiting, particularly from some of the shifts in the quarter that happened fairly quickly with the MERS situation, as well as the situation that we referred to in China, and people changing their travel plans, in addition to the benefiting from the lower currency in Europe.
Operator: Your next question is from the line of Jason English with Goldman Sachs.
Jason M. English - Goldman Sachs & Co.: Hey. Good morning, folks. Thanks for the question. Actually, two questions, if I may. First, a simple one. Travel retail net sales have fallen short of what you've reported retail sales to be by double-digits for two consecutive quarters. So, given that, do you think we're going to see normalization and reversion of net sales, matching retail sales on a go-forward, and do you think this can sort of abate some of that, that margin headwind? And secondly, Fabrizio, during your prepared remarks, you made numerous mentions to sort of distribution build: new counters, new doors, new stores. Any sense of how much that, in aggregate, is contributing to your growth? Thank you.
Fabrizio Freda - President, Chief Executive Officer & Director: Yeah, I'll start with the second question. Contribution to our growth is or distribution is 2%. So, 2 points of growth are distribution increases we met in the quarter, which is a continuing verse of what happened the last fiscal year. In terms of travel retail, what you should expect, first of all, the traffic increase of – in travel retail today is about 7%, and so remains very solid. But the mix of it, meaning there are less Brazilians, less Russians and Chinese are going in different places than Hong Kong, this mix has a negative impact in the short term on conversion, meaning on the number of travelers, that really buy, buy in a big way because different populations have different conversion rates. So, again, in this global, complex world, you need to keep in mind mix has a huge impact. So we believe that in the future, the mix impact should improve because, as you know, there is in the base the turmoil of Hong Kong that started in October, November. MERS should get out of the base as well, and meaning that the MERS impact should not be there anymore in the future. And then we, specifically as Estée Lauder Companies, as we are doing in every other aspect of the business, we are modifying our portfolio and adjusting and diversifying also our travel retail sales, meaning we are building stronger business in EMEA, stronger business in the Americas. We are diversifying our brands. We are launching new brands. We are covering more airports, more tier-2 airports. So we are continuing our strategy of diversification also in travel retail, and we expect this will benefit our trend, it will make us less dependent on short-term mix inputs in the travel retail evolution.
Operator: Your next question is from Olivia Tong with Bank of America.
Olivia Tong - Bank of America Merrill Lynch: Okay. Thanks. So obviously, some of your Paris based trends had some pretty negative commentary overall particularly in travel retail. So can you just give us an update in terms of inter-quarter trends, if you saw any change through the quarter or through October so far? And then just update us on your assumption on industry growth for this year. Is it still 4% to 5%? Thanks so much.
Fabrizio Freda - President, Chief Executive Officer & Director: No. I mean, on travel retail, the quarter was tough obviously. And so, I think we agree with the negative comment on the quarter. Our point of view on the long term future of travel retail remain however very positive and we believe travel retail is and will remain a strong channel, a channel of growth and a great opportunity for us. And then, we believe that in the continuation of this fiscal year in the next 12 months, we should see gradually an improvement of the trend as I was explaining because many negative impacts on the travel retail will be in the base – in the base (40:25). And so, that's the difference. And...
Tracey Thomas Travis - Chief Financial Officer & Executive Vice President: The market? Yes. We do still expect the market growth to be 4% to 5% this year.
Olivia Tong - Bank of America Merrill Lynch: Yeah.
Operator: Your next question is from Javier Escalante with Consumer Edge Research.
Javier Escalante - Consumer Edge Research LLC: Hi. Good morning, everyone. My question has to do with the change – not call it the change, the emphasis on opening stores that you announced in August. If you can tell us how many stores have been opened this fiscal year, 2016, and what will be your corporate like-for-like growth, excluding M&A and new store openings? So that will be my question. And a clarification with regards to EMEA, it seems that I understood that – or at least this is what I gather – that ex- travel retail, all the other pieces in aggregate of EMEA could do 23%. So how much of that is a – you mentioned that emerging markets grew 31%, so the Western European piece grew very rapidly as well. Could you tell us what you're doing with Boots and Douglas? It seems that you had mentioned that on the passing. Are you opening more doors? If there is more opportunity to increase distribution in Boots and Douglas? Thank you very much.
Tracey Thomas Travis - Chief Financial Officer & Executive Vice President: All right. So, Javier, let me go ahead and start. In terms of new door openings, for freestanding stores, now we referenced both freestanding store and freestanding format openings, as well as some of the openings that we're experiencing in travel retail. But as it relates to retail, freestanding stores and freestanding store formats, we expect to open about 250 this year. As it relates to in our growth algorithm of 6% to 8%, how much we're expecting to come from distribution, it's about 2% to 3% of the 6% to 8%. And as it relates to the acquisitions this year, we're expecting about 50 basis points of our growth in that 6% to 8% to come from the new acquisitions that we did last year.
Operator: Your next question is from Steph Wissink with Piper Jaffray.
Stephanie Schiller Wissink - Piper Jaffray & Co (Broker): Thanks. Good morning, everyone. Congratulations on a nice quarter. Our question relates to your initiative, particularly around the Estée Lauder brand, to broaden the reach to the millennial customer. And maybe you could talk a little bit about your digital content initiative with respect to the brand portfolio more broadly. Thank you.
Fabrizio Freda - President, Chief Executive Officer & Director: Thank you for your comment. And, yeah, the Estée Lauder brand, as we explained, is doing several trends to complete the turnaround, go back to long-term growth levels. One of these steps is focusing more on the millennials and attract new consumers and particularly younger consumers to the brand. The key activity recently has been with the new model Kendall and all the activities behind Kendall Jenner launch of the new fragrance or new makeup. And the daily social media activities behind these new launches, they've been very successful. And so, we will try to continue that. And as part to this plan to attract more millennials, behind Kendall, behind the social media, behind specific product launches, we attribute particularly high importance to the launch in Sephora U.S. of Estée Edit with 250 doors next March. Then we'll be continuing this progress in attracting to the (44:13) brand the millennial generation.
Operator: Your next question is from Dara Mohsenian with Morgan Stanley.
Dara W. Mohsenian - Morgan Stanley & Co. LLC: Good morning. So, Fabrizio or Tracey, given the challenging macros out there, I'm surprised you're willing to raise your FX-neutral EPS guidance so early in the year here after the Q1 beat. So, I was just hoping to get a sense of what was really driving that. Your FX-neutral sales range remains the same, but maybe you're more comfortable where you're landing within that. Or is it more due to the margin side and maybe the cost of doing business is not as high as you expected? And just to your level of conviction that you can deliver that earnings growth with the global volatility out there will be helpful. Thanks.
Tracey Thomas Travis - Chief Financial Officer & Executive Vice President: Yeah. So, I will start on and I'll let Fabrizio pick up on the environment and our expectation as it relates to sales. But I think in terms of our comfort level with raising our guidance, one of the things that we are saying is better leverage on some of the initiatives that we were expecting for this year. We've talked a lot about our flexibility and agility as it relates to expenses. And the ability that we have created over the last few years to shift resources to fund the initiatives that are driving more momentum. This certainly starting this quarter there was a tremendous amount of uncertainly, we bet on some strong winners this quarter. Hence, we're able to deliver the quarter and we think we have better insight into what will work for the balance of the year relative to the initiatives that we started the year with. So, that gives us comfort in terms of our ability to deleverage our initiatives a bit better than what we had initially anticipated.
Fabrizio Freda - President, Chief Executive Officer & Director: And then overall, I think you posed the question that say, is it really overall, is the amount of confidence and the amount of things that progressed well in the quarter, like our cost savings, our activity internally and also to the mix because we were anticipating a softer Hong Kong or softer China and we have planned to offset, I said, to reallocate the resources in EMEA and in other areas and to accelerate the United States and North America in general. Obviously, the softer part was more sure than the good part and the good part was validated with the activity we've done in the quarter. And so, the reassurance that we saw in the fact that our strong offsetting investment we are working well gave us more confidence to get the balance of the fiscal year in the direction we just stated.
Operator: Your next question is from Mark Astrachan with Stifel Nicolaus.
Mark S. Astrachan - Stifel, Nicolaus & Co., Inc.: Thanks and good morning, everybody. I just wanted to clarify. So, is your expectation still that Clinique and Estée brands get back to growth this year? And then, sort of more broadly on the same brand, I guess, investors – it seems to us at least, lump those two brands together. But I'm curious internally how you view longer-term growth prospects for each brand? And obviously, they're different brands, different positioning. And in terms of the Clinique brand, it seems a little harder, to sort of get a sense of how it fits in with a consumer that wants either lower end or higher end with the entry-level Prestige brand perhaps becoming more squeezed from a consumer purchase standpoint longer-term. I'm just curious how you think about that and could there ever be a scenario where you look to dispose of that brand in favor of investing in other things?
Fabrizio Freda - President, Chief Executive Officer & Director: So, let me answer (48:14) question. There is no scenario in which we dispose of any of these two brands. Those are two core brands of the company, it will continue to be our priority. And, yes, our goal is to bring these brands back to single-digit growth as soon as possible. Now, the brands are very different, you stated one from another. So, the brands are making progress as I stated in my prepared remarks, both brands, but let me take them one-by-one. The Estée Lauder brand is making progress in makeup. We already turned around the makeup part, and we will continue to accelerate that. We have a strong holiday plan on fragrances with Modern Muse Le Rouge plan, and we expect to continue making progress on the fragrances. On the skin care part of the Lauder brand, frankly, with Lauder being the market leader in Asia where over 90% of the business is skin care, and in this moment, a global softness happening and being so focused on Hong Kong and China skin care business. It's very difficult to have the skin care turnaround executed and finalized in the short period of time in that external condition. Said this, we will continue working on it, we'll continue to diversify, and we expect also – we have the goal also to turn around the skin care part as soon as possible and as soon as market – external market condition also will be a bit more favorable for the skin care product. On Clinique, same thing. Good progress on makeup, which is a very important part of the Clinique business, and good progress in many markets around the world. For example, Clinique in China has been, in the quarter, growing double digit and is one of our fastest-growing brand there. The Clinique challenge has been in departments – the mid-tier department store U.S., in the area of skin care particularly, and that's the area that we are attacking with the next set of initiatives and activity, working with our partners to turn around also this part. I also want to say, in the U.S., Clinique continues to grow, for example, very well in specialty multi, in Sephora, in Ulta and in overall online. So good progress, and yes, we are still determined to bring both of these brands with their very different problematics and strengths to single-digit growth as soon as possible, external markets permitting.
Operator: Your next question is from Bill Schmitz with Deutsche Bank.
William G. Schmitz - Deutsche Bank Securities, Inc.: Hi. Good morning. Could you guys talk about a few things? First, shipments versus consumption in the quarter – and I know it is not a great resource, but it looks like NPD continues to pretty dramatically trail some of the numbers you're reporting. So I would love any commentary you have there? And then, the price harmonization impact in China – so I know it is fairly early, but I'm just trying to figure out, are the Chinese shoppers – is it price-driven, or is it experience-driven, when they buy overseas? Are you seeing them by only in travel retail; outlets, because it is cheaper because of the duties; or are they buying it more exponentially, and I think probably the latter is better than the former? And then, just lastly, very quickly, have you ever thought about like a more of an omni-channel approach to Clinique, including maybe going into masks? I know you have done very well in Boots in the UK. I think you have a decent business at Shoppers Drug. So I wonder if you ever explore like CVS or Walgreens with Clinique. I am out of breath. Thanks.
Fabrizio Freda - President, Chief Executive Officer & Director: Wow. So, again, let me start from the last part, no. We have no intention to bring Clinique in any other distribution than prestige global distribution. So there will not be expansion of Clinique to mass. Clinique is a prestige, luxury brand that need service element attached to the business model to be successful around the world. This will remain the same.
Tracey Thomas Travis - Chief Financial Officer & Executive Vice President: And Bill, as it relates to NPD information and shipments versus sell-through, I assume you're referring to the U.S., the North America NPD numbers. And a couple of things that I would point out; in our first quarter, September is a pretty heavy shipping month for holiday sales, so that would affect shipments, and you wouldn't necessarily see that in the retail sell-throughs and the market share information. And also, free standing stores are not in that information...
Fabrizio Freda - President, Chief Executive Officer & Director: And online.
Tracey Thomas Travis - Chief Financial Officer & Executive Vice President: ...and online, so – or not our online site. So those are two elements that are missing that are certainly in our numbers when we report, that you don't see in the NPD numbers.
Operator: Your next question is from Lauren Lieberman with Barclays Capital.
Lauren Rae Lieberman - Barclays Capital, Inc.: Thanks. Good morning. I actually wanted to talk a little bit about holiday, just kind of in general, your outlook in terms of the broader retail environment. I know sometimes when there's heavy promotion around other areas of retail, it can impact category growth in beauty. So a little bit on that. Anything you are doing differently in terms of gift sets, or positioning around holiday would be great. And then, secondly, within the U.S., just curious on Estée. Because you've had New Dimension in the market for the better part of the quarter, how skin care for Estée performed in the U.S., and just any kind of color on the outlook for New Dimension's momentum forward. Thank you.
Fabrizio Freda - President, Chief Executive Officer & Director: Okay, so on holiday, we feel confident we have a good set of activities, particularly strong on our fragrance business, on our makeup business, and we believe we are well prepared. There will be also our portfolio brands, and the growth we have seen in brands like Jo Malone, Tom Ford is reinforcing the part of our portfolio which has the possibility of having great traction during the holiday. So we see improvements ,not only in our gift sets and in the promotionality of holidays, but we really see improvements also in the kind of portfolio choices that we can offer for gifts during the holiday period everywhere in the world. The other aspect that we are improving is that a lot of the holiday sales are going to be directed online, in our retail dot-com areas and online in general. And we continue to improve our online readiness for having a great gift season. Now for the other question, is New Dimension of Lauder was in line with the expectations around the world, including in the U.S., is particularly successful in the beginning in certain European markets. But in the UK, also was very successful as of July. And in U.S., I would say, more or less in line with expectations. And the impact on the overall skin care Lauder is positive. We see the New Dimension brings new consumers into the game. And so, we believe can have a good impact in the long term. However, last year during the same period, we had launched Advanced Night Repair eye product, that was a very successful initiative. So in some markets, including the United States, we see that New Dimension launch was not able to completely offset the Advanced Night Repair launch in the previous year. But again, we'll continue to grow and attract new consumers to the brand, in our estimate.
Operator: Your next question is from Wendy Nicholson with Citi Investment Research.
Wendy C. Nicholson - Citigroup Global Markets, Inc. (Broker): Hi. It's not entirely clear to me, because the first quarter was stronger than we expected, clearly on the top line and the bottom line, and much stronger than your guidance – why you wouldn't be raising the full-year numbers. I'm just trying to understand, was there more pipeline fill? Was it that shift – I know, Tracey, you mentioned a shift in some marketing expenses. Or is it that you feel incrementally cautious about the macro environment? Or are you just being wildly conservative with the second quarter and the full-year numbers? Thanks.
Tracey Thomas Travis - Chief Financial Officer & Executive Vice President: So, Wendy, we're definitely not being wildly conservative with the numbers. We actually did, when you think about the fact that we maintained our full-year guidance and we talked about experiencing another $0.06, or expecting to experience another $0.06 of currency impact based on the current spot rates, indeed we did raise our guidance for the full year. So, we did flow some of the beat in the first quarter through to the full year. But it is a very uncertain macro environment and, as Fabrizio mentioned, there are many markets that are volatile right now, and currency still remains volatile right now. So, we were not comfortable flowing 100% of the beat through in the first quarter to the full year, but we certainly flowed a portion of it through.
Operator: Your next question is from Ali Dibadj with Bernstein Research.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: I have a couple things. One is, on the SG&A beat, based on lower spending. Given the commentary that we've heard for a while now about agility and nimbleness, is there any way to help us think about how much less volatile you may be today, given some of these kind of organizational capabilities you've built, about reacting more quickly and stuff? Because – and if you could be specific about what you've actually done. Because it has always been a concern, I think, among investors – among us as well – that you are not really a staple company, right, you're much more discretionary, so macro has to be much more concerning for you guys. Can you give us a sense of how your organizational capabilities have changed? And if you can tell us how much less volatile you might be, so we can be less concerned about macro, that might be helpful. Tough question, but love some context there. And then, second thing is around the dividend increase of 25% – good; again, I think that was 20% last year, so now 25% this time. How should we think about where you're funding that from? I mean, clearly, the payout ratio seems to be going up because the EPS growth, ex-currency, is 10% to 12%. Should we expect some more debt load? Lower stock buybacks? Is it just kind of the payout ratio going up, working capital improvements? How should we think about that from a signaling perspective, given your dividend's going up so much? Thanks, guys.
Fabrizio Freda - President, Chief Executive Officer & Director: So, I'll take the first one and Tracey will cover the second one. So, in terms of volatility, the market has increased volatility. And that's why we have prepared ourselves to deal with this volatility better. So, the strategy that I keep repeating, the multiple engine of growth, is actually a clear strategy that internally, we are executing since several years. And now, this has reached to a point where we believe we are much less volatile than we used to be and more reliable and more sustainable than ever. This comes from the fact that by channel, we are today more diversified. For example, we have now 8% of our business online and some of our key markets like U.S. and U.K. is 12%. And in China, as we discussed, it is double digit, it is 10%. We have more business in our free-standing stores, particularly on certain brands and particularly in emerging markets. Meaning, that we have bettered the ability to build business in the emerging markets which are growing fast, even if in some cases, there is not available luxury distribution in those markets. And some of our brands have been designed to drive this accordingly. We are better diversified because now we are winning around the world much better in specialty-multi. We had mentioned our strong growth in the U.S. in Sephora or our strong growth in Europe in Douglas or in Boots in the U.K., and there are several examples in Asia as well. So, channel diversification is one example. Second, category diversification. We have now demonstrated that we are the market leader in global makeup. And so, even in the moment where the macro factor makes skin care grow less aggressively, particularly because skin care in Asia is growing less, we can definitely accelerate makeup and within makeup there are very profitable segments, so makeup that can be accelerated, that are equally profitable to skin care. We have demonstrated that in the fragrance business, creating these high-end fragrance part of the portfolio, which is profitable and growing fast like Jo Malone as a brand, that we can continue tapping into the growth of the fragrance strategy, but with a strategy which is more in tune with the Estée Lauder company capability and long-term vision. And finally, diversification by brands. We are much less dependent only from Lauder and Clinique. First of all, M•A•C today is a brand which is as big as Lauder and Clinique. And then the rest of our portfolio of the small brands, now mid-size brands, all together, as I explained a lot of times, are actually bigger than our biggest brands. So we have now really multiple origins of growth, more diversified. So the first reason why we are less volatile is because there is not anymore one thing that can happen macro that can have a very big impact on our business because there will be others that we can accelerate to compensate this one. Second part to the answer is then, what do we do, what we have changed in terms of resource allocation? We have created internal system where we are much more capable of reallocating resources when we discover these trends or these changes on trends, and to make sure, for example, that we do not overspend if there are situations where the market doesn't deserve it because the market is under pressure. And so we can cut spending very fast where the market doesn't deserve to be pushed in a certain moment, or cut spending where initiative, a new launch is not delivering what we were expecting to avoid burning money that will not return. On the other side, we are also capable to increase spending in areas where there is strength and where there is growth or where the market offer an opportunity that was not forecasted before and we can do this in a range of months. And so our ability to reallocate resources with internal system in just a few months has increased dramatically versus the past. So in summary, we are more reliable, more sustainable, more long term and less exposed to external trend than ever because of our portfolio and because of our ability to reallocate resources in a pretty fast way. Tracey.
Tracey Thomas Travis - Chief Financial Officer & Executive Vice President: And so, to continue what Fabrizio said, one of the benefits of being able to execute well against our strategy inclusive of the agility, the diversity and the agility that we've created from executing in our strategy is that our free cash flow, as you all know, has increased quite dramatically over the last few years. We've seen a big acceleration in our free cash flow which has allowed us to take up the dividend as well as repurchase more shares every year, as we on an annual basis review and get approval from the board on terms of how much of our free cash flow will we distribute to the shareholders. Much of that cash is generated overseas, and so, we have taken on small amounts of debt as we have committed to that strategy. And we've also taken on debt, and as I've shared with you previously, we'll continue to take on debt for acquisitions as we need to in the future.
Operator: That concludes today's question and answer session. If you were unable to join for the entire call, a playback will be available at 1:00 PM Eastern Time today through November 16. To hear a recording of the call, please dial 855-859-2056, pass code 64698005. That concludes today's Estée Lauder conference call. I would like to thank you all for your participation and wish you all a good day.